Operator: Welcome to the Boozt Q4 2025 Report Presentation. [Operator Instructions] Now I will hand the conference over to CEO, Hermann Haraldsson; and CFO, Michael Bjergby. Please go ahead.
Hermann Haraldsson: Thank you, and welcome all to our Q4 [Technical Difficulty]. We will have the usual agenda for the presentation. I will present the highlights of the quarter and the business update before handing over to Michael for the financials. So next slide, please. Well, 2025 has been a defining and transformative year for Boozt. It's no secret that it was a challenging period where we faced a continued tough market environment. However, we have not been idle. We used the year to trim the organization to carry out excess inventory and make a deliberate shift in strategy between our 2 platforms, Boozt.com and Booztlet, focusing more on our premium side. And finally, we're also moving to a new headquarters in Copenhagen, and this is a major step that gives us better access to talent and position us in one of the capitals of the Nordics. Looking at the fourth quarter, net revenue grew 4% in constant currency. This is a slight acceleration compared with Q3. Growth was driven entirely by Boozt.com, which is already benefiting from a strategic shift towards a more premium in-season sales. On the profitability side, our focus on efficiency continues to pay off. And despite a competitive market and a high promotional intensity, we managed to improve our underlying EBIT margin. This was supported by efficiency gains across the entire value chain, proving that our leaner technology-driven structure is working and driving tangible results. The highlight of the quarter and also the full year is our cash generation. We delivered a record high free cash flow of over SEK 1 billion in the quarter, supported by our disciplined effort to rightsize our inventory. Basically, we have essentially derisked the balance sheet, leaving us in a very strong position as we enter the new year. Because of this strong cash position, we intend to continue returning capital to the shareholders through a new share buyback program later this spring. We are currently completing the SEK 800 million capital return we promised at our last Capital Markets Day, and we plan to continue distributing excess cash to the shareholders. Looking into 2026, our focus shifts from defense to offense. We are ready to start expanding our market share again as we target a gradual return towards double-digit growth levels. We have several growth drivers in place that I will cover in the following slides. So please turn to Slide #5. I would like to start my presentation by looking at the journey we've been on so far. Since our launch in 2011, the industry and Boozt as well has moved through distinct phases. from early expansion and price leadership to the surge in online penetration we saw during the COVID years. The last 2 years have been a period of deceleration for the industry, marked by a decline in consumer confidence and the stalling of the post-pandemic online growth. On top of this, we at Boozt have also had currency headwinds due to the strengthening of the SEK. However, as we enter 2026, we are moving into a new phase that I would like to call a rejuvenation. The next wave of growth will be driven by our leadership in service and convenience and AI is the engine that will drive this, making the customer journey more seamless, faster and more personal than ever before. This push should then be supported by a healthier Nordic consumer as market conditions are likely to improve gradually throughout the year. Next slide, please. To fuel our return to growth in 2026, we have several engines running in parallel. We see small signs of market conditions beginning to turn with fiscal support for the Nordic consumer and likely some pent-up demand coming through. We are meeting this with a stronger assortment. This means bringing in new premium brands and ramping up our inventory to make sure that we have the right products for the market. We're also pushing forward with personalized shopping using targeted curation and personal prices to make sure that every customer feels that the experience or shopping journey, if you will, is built just for them. Another big milestone is the relaunch of the Club Boozt in April. It's based on a new concept designed to be much more commercial focused and drive direct sales. Finally, supporting all of this is our AI integration, which is driving both the consumer journey and our overall operational effectiveness. So next slide, please. Technology has always been the engine at Boozt, and we are now moving fast to embed AI into the core of our operations. The projects I'll highlight here are just examples as AI is already a part of our daily operations across the board. Broadly speaking, AI is a primary lever for our efficiency from optimizing the warehouse and forecasting demand to automate routine tasks like invoice handling and product categorization. By letting technology handle the heavy lifting, we're able to operate a much leaner and much more efficient organization. This is also changing how our customers shop. We've just gone live with AI-powered search on Boozt.com, delivering much more intuitive and relevant results. Along with the visual search and AI generated inspiration, we are making product discovery faster and more personal. This, at the same time, as our service bots already handle 35% of inquiries, letting us scale without compromising quality. And finally, we have just recently launched a virtual shopping assistant to act as a personal shopper through natural conversation. Looking ahead, we intend to stay at the forefront of this development. We are already in talks with Google and OpenAI about agentic commerce and how AI agents will shop in the future. Our approach is quite simple. We want AI to help customers find the right products, but we stay disciplined about how the actual buying happens. This ensures that we neither lose the curated feel nor the high average order value that makes Boozt unique. So you might say that we are, in just following these new standards, we are positioning Boozt to lead through them. So now let's move on to the next slide, where we continue to see the department store model prove its worth, especially in a year where fashion demand remains soft. By offering a true department store experience, we create a natural hedge. When one category is muted, others step in to support the overall business. In 2025, 44% of our revenue on Boozt.com was generated from categories outside of fashion, and this is up from 42% last year. Our goal remains to move this towards 50% in the near term. The diversification, of course, is not just about risk management. It's also about the bottom line. As we have stated on earlier occasions, multi-category shoppers stay with us longer, return fewer items and spend more per order. Today, 54% of our customers on boozt.com shop from more than one category. This is a clear step-up from 52% last year, showing that our efforts to encourage cross-category discovery are paying off. Next slide, please. And if we look closer at how our customers shop, the trend is actually quite encouraging. We are seeing robust growth across the board for customers buying into multiple categories. As you can see on the slide, we saw an increase of between 6% and 9% in every group of customers shopping from 2 to 6 different categories. And this is exactly what we want to see. It shows that once we get customers into the Boozt ecosystem, they find value across our different departments. Overall, our active customer base on Boozt.com stands at 2.8 million, which is a 2% increase over the last 12 months. While we always want to grow faster, the stability in a tough market really shows the strength of the department store model in building deep customer loyalty. So with that, I would like to hand over now to Michael and the financial review.
Michael Bjergby: Yes. Thank you, Hermann, and good morning from my side as well. I will start out by presenting our financials for the quarter, which were characterized by solid profitability and also record free cash flow. Afterwards, I'll go through the details of our outlook for 2026. Please go to Slide #11. So we grew 4% in constant currency, which was just slightly above our growth in Q3, but it is important for us that we continue to improve our growth momentum. And across the value chain, we are laser-focused on accelerating growth even further as we move ahead. The incremental growth improvement was, to a large extent, driven by an increase in activity in women's fashion, which is our largest product category. As previously announced, we have created a sharper distinction between Boozt and Booztlet, and we saw the results in September, but it really came to full effect here in Q4. As planned, we have generated solid growth at our more premium side and negative growth on Booztlet. The change of strategy between the 2 sites was a tough decision because we knew it will impact our growth short term, but it is the right long-term strategy and will support both growth and margins going forward, but it's also accretive to our relationship with our brands. From a country perspective, the growth was relatively stable across our key markets, but I want to highlight double-digit growth both in Boozt and Booztlet in Norway, which is a market where we see continued great potential and where we are heavily underrepresented. Now please go to the next slide and some comments on our profitability. The profits were strong in Q4 with an improvement of 0.9 percentage points on the EBIT margin if you exclude the effect from last year where there was a positive one-off of customs from Norway. Q1 to Q3 benefit was included in Q4. So in that sense, Q4 was distorted, but the year is comparable. The gross margin was under pressure from 2 external headwinds: one, the continued SEK appreciation; and two, our promotional environment driven by price-sensitive consumption and especially in the Black Friday period. This is not specific for Boozt, but something that has been communicated consistently also by peers on the stock exchange and particularly related to the Swedish market. The FX impact contributed by a bit more than half of the decline in gross margin. Even with the negative development on the gross margin, we delivered almost 10% EBIT margin driven by operational efficiencies really across the value chain, and this is even without any material leverage from higher revenue because net revenue only increased by 1%, but rather, it's really true cost increases across fulfillment and marketing and administrative costs. It illustrates the strength of our business model and how scalable it is. And overall, we delivered a small EBIT improvement for the year, even with some FX headwind. Now please move to Slide 13 and our cash development for the year. We delivered record free cash flow in 2025, and the cash conversion was far above 100%. And needless to say, this is not sustainable in the long term. But the year and the cash really reflects that in an inventory business model like ours, where working capital swings far outweigh cash generation from profit, then there will be fluctuations. And fundamentally, Boozt has a very strong cash flow generation, easily above 70% of EBIT over the cycle. 2025 was a year of consolidation and improving the health of our inventory and working capital really was a driver of the free cash flow. So in rough terms, 50% of the cash flow was driven by normal profit cash, which is sustainable long term and 50% was driven by working capital improvements. Please go to the next slide. We ended the year with a net cash position above SEK 1 billion, and it should be noted that year-end is the time of the year where working capital requirements are the absolute lowest. So this is not reflective of the excess cash available. But we want to be disciplined in returning excess cash back to shareholders, which is why we are today announcing a new share buyback program. And with that, we commit to distributing SEK 300 million back to shareholders in 2026, which comprises more than 5% of our market cap based on yesterday's closing. We will continue to generate and optimize cash and return it to shareholders and combined in '25 and '26, share buybacks are now expected to amount to around SEK 750 million or 14% of the market cap based on yesterday's closing as well. So with this, I have finished my financial review for 2025, and we will now look forward and turn to the outlook for 2026. Because as Hermann described, we believe that we are going into 2026 in a position of strength. And we have the right quality and quantity of our inventory. The organization is strengthened, and we have lined up a number of commercial initiatives that can drive growth, not least within AI. As such, we have created an expansion plan, I think a growth plan to deliver this growth acceleration during the year, and we are putting capital behind it, which is why we invest both in inventory, people and commercial initiatives to drive that growth. Our outlook reflects the plan. And while we do not want to focus on what is out of our control, I will, before we jump into the details, consider the implications of the FX development on Slide #16. Firstly, related to the FX, I think it's important to understand why we are sensitive to FX movement. Boozt is a highly centralized business, and that makes a difference. We don't have subsidiaries across the globe where revenue and cost exposures offset each other. We do everything from Sweden. And as such, we have our inventory recorded in Swedish krona, fulfillment costs, administrative costs, all in Swedish krona, and we get revenue in many other currencies. As an example, when we lose revenue from NOK depreciations against SEK, then there's around 90% drop-through to EBIT because we have very limited cost in Norway, only a bit of distribution and marketing cost. So in 2025, we lost more than SEK 160 million in revenue from changes in currency and with a relatively high drop-through to EBIT. And with the recent development in December and January, currencies will remain a headwind in 2026, even though our Danish kroner exposure will be much lower for March after our headquarter move. As such, you can see the rates here on the slide to the right-hand side, and it's based on yesterday's fixing from this [indiscernible] and implies more than 2% negative impact on revenue. This can be calculated from the table to the right because euro and DKK represents, as you can see, almost 50% of revenue and has declined by 4% if you compare the spot to the average of 2025, which means that 4% time 50% implies 2 percentage points on group revenue alone from these 2 currencies. On top of this comes depreciation of smaller currencies against the SEK. So with the estimated drop-through, then this has an effect of 0.6 percentage points on EBIT margin at the current FX rates in 2026. Now please go to Slide #17. So we plan to accelerate growth and increase margins and thereby growing profit by double-digit amounts even despite of this currency headwind. We are guiding constant currency growth of 3% to 8% and an adjusted margin of 5.3% to 6.5%, which includes the negative impact from currency. It is important to highlight that we expect growth momentum to accelerate through the year, and we will continue to look at the acceleration, thereby gradually building towards very strong growth in the second half. This is driven by an offensive inventory buying plan, and that's particularly the [ AV26 buy ], but also our commercial initiatives, which gradually will have effect. One of these initiatives is the launch of our Club Boozt in April. And the new concept is more commercially incentivizing and designed to drive growth. From a technical perspective, please note that this will temporarily impact reported figures because there will be deferred revenue recognition related to the programs' unused discounts. This may impact timing of revenue, but for the full year, the impact of both revenue and margins is expected to be very limited. This brings me to the margin where we implicitly are underlying delivering minimum 20 basis points improvement for the low end of our revenue range and for higher revenue, there is significant potential for further operational leverage. It should be noted that the drivers of the margin are different from 2025 because we expect to drive profitability through gross margin, while we continue to be more effective also on marketing and fulfillment cost ratios. The admin cost ratio is expected to increase. As we move to Copenhagen, the conversion of salaries from SEK to DKK will increase costs by approximately SEK 10 million to SEK 15 million, but this will be fully offset by lower costs related to social charges on the LTI program. But from an adjusted EBIT perspective, it will have a negative impact because the social charges for LTIPs are today booked as an adjustment. So from reported EBIT and from a cash perspective, it will be neutral. We also see a double-digit SEK amount related to our people and organization. This is new commercial initiatives, but it's also increased running cost of our headquarter in Copenhagen compared to our headquarter in Hyllie. We consider these important investments for both talent acquisition and our organizational development. CapEx is expected to amount to SEK 165 million to SEK 185 million, which is a bit higher than in 2025. The CapEx includes SEK 40 million one-off investment that we have already started at the warehouse, which relates to insurance compliance and does not really give any other benefit than improved compliance and the fact that we can have insurance at reasonable prices. On top of this, we have real, I would say, CapEx investments at the warehouse of SEK 40 million to SEK 50 million that support efficiencies and will create savings on the fulfillment line. And this year, our CapEx projects are focused on the return handling, but also the handling of what is classified as dangerous goods such as some beauty products. And these combined is very, very attractive investments. So with our continued underlying margin improvement, we are firmly committed to reach our 10% EBIT margin target in the midterm. Since we announced our target of 10%, we have had significant FX headwind, and we've also seen muted consumer spend. But regardless of the label, our focus is on delivering continued margin expanding every single year towards the 10% mark. Please move to my final slide of the day. So looking at cash flow in 2026, then as we also saw in 2025, we can easily deliver cash conversion of around 70%, and this includes even inventory increasing in line with revenue. But 2026 will be impacted by timing factors, which will be a benefit in the following years, particularly the exit tax and the inventory buildup with the cash outflows in 2026 will be beneficial to the cash flow in 2027 and beyond. Now with the inventory buildup, we're also able to overperform compared to what we have guided today if there is demand in the market. The one-off moving cost has been recognized from the income statement in 2025, but we have cash effect during 2026, and this relates to double rent, cost of restoration of the old headquarter and practical handling of the move, et cetera. Consequently, our free cash flow in 2026 is expected to be relatively moderate. As we continue to drive our margin, we will drive cash generation further, and this will create capital both for investments and further distribution back to shareholders in future years. That concludes my prepared presentation for the day, and I will now turn to Hermann for the closing remarks.
Hermann Haraldsson: Thank you, Michael. And yes, to conclude, I would like to leave you with the mindset that is driving us into 2026. 2025 was a year of consolidation. We focused on strengthening the foundation through necessary and tough decisions, meaning cleaning up our inventory, trimming the organization and sharpening the distinction between Boozt and Booztlet. We did the heavy lifting to ensure the business model is as scalable and lean as possible. So now we are playing offense. We are in the process of moving into a new headquarters in Copenhagen. The move is all about top-tier talent access, adding even more specialized depth to our already strong team as we scale. So with this new energy, we're actually quite bullish. We are ramping up inventory to meet demand, adding new brands and targeting a broader and more inspirational assortment. Tech will be a catalyst, utilizing AI as our copilot to deliver an ultra-personalized shopping experience and maximize customer value. The foundation is solid. The talent is coming on board, and we are very ready to execute. So with this, I would like to conclude our part of the presentation and open up for questions. So operator, please go ahead.
Operator: The next question comes from Niklas Ekman from DNB Carnegie.
Niklas Ekman: Can I ask you a little bit about the reason for your increased optimism on the market and your sales in '26? And more specifically, I'm thinking that the market has been challenging for several years now, and yet you delivered very strong growth in '23, and it slowed a little bit in '24, it slowed considerably further in '25. So what is the main reason for your optimism in '26? Because I mean, we've already seen the market picking up in '25, at least the online market has picked up in '25. So why should your performance be much better in '26? I guess that's my first question.
Hermann Haraldsson: I'm not sure how much the market picked up actually in '25, to be honest. But the reason why we're optimistic is, on the one hand, external factors where you see fiscal stimulus, both Sweden and Denmark should kind of give a more optimistic and consumers feeling that they have more in their purse. And then on the other hand, kind of internal factors, we are in a very good shape. We are being more bullish on our inventory buy, as we said, buying more broadly and inspiration of Boozt.com. And this combined means that we are actually relatively optimistic. We have been going into probably especially '25, where we had a bit too much stock and we're a bit negative. We were too cautious on our buying and too narrow. So we are seeing good receipt. We're seeing that our core customer, the women is coming back and they're buying more. So we are actually seeing a gradual improvement. And if you look at local currency, we are accelerating, albeit slow growth, Q3 and Q4 with 4% in local currency growth in Q4. So we are actually heading and aiming towards getting back to double-digit growth towards the end of the year and going into '27.
Niklas Ekman: Very clear. And Booztlet, you mentioned here a sharp slowdown in the second half because of deliberate moves. Is this something that will continue to hamper your performance in H1? And is that a contributing factor to why you expect slower growth for the group in the first half?
Hermann Haraldsson: You might say that kind of the Booztlet mission accomplished, Booztlet was supposed to help clear excess inventory during 2025. They managed to do so. And also, we also had too much kind of in-season inventory where we allowed Booztlet to clear that as well. We stopped that. And of course, this comes at the expense of Booztlet growth. But then on the other hand, we can see that the mothership Boozt.com is again growing healthy, 7% local currency growth in Q4. So you will see Boozt.com growing and Booztlet being a bit more muted because there is not that much inventory to clear for them. So you're right, Niklas, that it will come a bit at the expense of Booztlet.
Niklas Ekman: Okay. Fair enough. And just last question, just the formality. The SEK 180 million exit tax payment, is this a pure cash flow effect? Or will that also impact your P&L?
Michael Bjergby: Yes. Thank you, Niklas. This is a pure cash flow impact. And so it will not impact the tax on the P&L. And I just want to emphasize that the SEK 180 million is the full amount, which were only SEK 112 million will be paid in 2026. And it will be offset by benefits on Danish kroner tax, which is why we expect that the net tax effect from this in 2026 will be SEK 140 million.
Niklas Ekman: Very clear. And then you will get that repaid in the coming 4 years as well?
Michael Bjergby: Yes, exactly. So the exit tax payment creates a tax asset on the balance sheet, and this can be used for the following 5 years in Denmark.
Operator: The next question comes from Benjamin Wahlstedt from ABG Sundal Collier.
Benjamin Wahlstedt: I'll start by saying that, yes, I sort of agree with Niklas that your optimism is sort of back and refreshing to see. But you also mentioned bringing in a couple of new brands in the quarter. I was wondering, could you give some examples of this?
Hermann Haraldsson: Benjamin, that's a difficult question. We have some new brands. So I don't think I would like to highlight any more because we're getting big stock back among other brands and Hunter Boots, some kind of -- it might not be kind of huge brands, but they are kind of adding some flavor to the shopping experience and then a lot of kind of local brands within different price points. So it's kind of across the board in general. So we're going from being too much data focused and too much depth to also providing more inspiration going in 2026.
Benjamin Wahlstedt: All right. And I was also interested in hearing your comments on the competition in the beauty segment, especially, [ please ]. Obviously, there has been some competitors really struggling here. So what's your read on the market?
Hermann Haraldsson: It's very red, if you ask me. We have a lot of players that want to take the market and want to grow. So our kind of strategy for the Beauty segment is to basically tag along and get our customers to just add a beauty item into baskets, so maintaining a high average order value. So this is why even our beauty baskets are actually quite profitable. But it's not going to be beauty that's driving our category growth. It's more like it's kids, especially sports and then home. So the beauty is -- I think beauty is a very tough market, especially in Sweden at the moment.
Benjamin Wahlstedt: Perfect. And a question on Denmark. You previously said or commented that you did not expect any like cost lift up or cost ramp-up from moving the staff to Copenhagen and that message has somewhat changed in this quarter. Could you elaborate a bit on that, please?
Michael Bjergby: Yes. So I think what is -- the difference is probably what we see from -- if you look at the salary, then salary conversion has led to some increase, but this will be fully offset by lower payments of social charges. So I think that was the message from that. And then on the location change of the headquarter, then the rent is actually exactly the same in Hyllie as in Copenhagen, but it's the operational cost that is more expensive, such as property tax, we have the canteen running and as well as maintenance of the building, which is more expensive. So there is a bit more cost related to running in Copenhagen compared to Sweden.
Benjamin Wahlstedt: Perfect. You also mentioned running quite a few commercial initiatives during the year. How should we think about that in relation to your admin costs or personnel costs, looking into 2026?
Hermann Haraldsson: When you say commercial initiatives, are you talking about marketing or what do you mean, sorry?
Benjamin Wahlstedt: Well, commercial initiatives, I believe that was the word you used. So yes, are you adding any marketing staff or are you adding any sales staff and...
Hermann Haraldsson: Sorry. We are improving the organization being considerably more localized. It has been kind of a challenge for us to attract local marketeers to our office in Sweden, meaning when we talk about local marketeers, it could be marketeers from Finland, Norway, even from Sweden, where you have some people from Stockholm. But now that we're moving to Copenhagen, we're able to build a kind of a community of local marketeers sitting in Copenhagen. So we actually kind of strengthened the commercial organization considerably by moving to Copenhagen and being a bit more kind of localized at the same time as we're getting the benefits from sitting together. So we're actually ramping up on hiring commercial people to be able to be even stronger in the different local markets because currently, Denmark has been a strong market because we have a lot of things, to be honest, that are driving that and partly Sweden, but a lot of the strong markets here in Sweden are sitting in Stockholm and we have had difficulty in attracting them to Malmo, but they would like to work come to Copenhagen and the same for Finns and Norwegian. So I think that is kind of a big part that will strengthen the commercial organization of that.
Michael Bjergby: Just to add to that, there are also other initiatives that we don't disclose where we also add some employees. And when we add marketing employees, then it actually goes under the admin cost line because all it seems they are in admin, just to be clear.
Benjamin Wahlstedt: Perfect. Do you mind putting a number on that as well?
Michael Bjergby: No. So we don't disclose the effect of that. But I think what we have said is that the admin cost ratio could increase by, let's say, in rough terms, 0.5 percentage point, and this includes both the salary conversion, the additional relocation costs and the additional FTEs.
Operator: The next question comes from Daniel Schmidt from Danske.
Daniel Schmidt: Just back to what you talked about in terms of Boozt.com and the increased focus on premium sales. Did this trend that you talked about or the shift that you've conducted, did it trend favorably into '26? Did you see sort of an underlying pickup of that shift that you conducted in terms of the sort of the customer picking that up basically into '26. Sort of could you shed some more light on that?
Hermann Haraldsson: Daniel, actually, you can see that from the numbers where you can see that Boozt.com grew 7% in Q4, where we kind of slightly started to be a bit more premium, expand our range and actually do a little less discounting. And we're not going to be a luxury store. So we are still going to be mid- to premium, but we want to kind of elevate Boozt.com a bit more. And we actually can see that consumers are picking up, and we see quite a good sell-through of the more premium brands that we have introduced during the quarter.
Daniel Schmidt: Okay. I was just more referring to where are you in that process? Are you adding more and more of that premium assortment as we go into '26? Or has that been sort of done now, you're happy where you are as you leave '25?
Hermann Haraldsson: We are relatively happy. I think we will always be kind of trying to add more brands, and we are seeing some attractive brands in the pipeline, but it's more to do with that we are broadening the assortment. buying more width, maybe also buying slightly more expensive price points than we did in 2025. And then, of course, there's going to be less promotional activity on Boozt.com. So we're kind of trying to -- it sounds kind of a bit [ cheesy ], but we're trying to elevate the experience on Boozt.com and being less discounted than we were kind of exiting '24 and the beginning of '25. And we actually see encouraging signs of that, especially because the women are actually also coming back.
Daniel Schmidt: But it sounds like you've sort of neglected inspirational part of the assortment over the past couple of years, like you said, and been quite data-driven and now you're getting your head around that going into '26. But if you compare where you were in terms of the level of premium that you catered like 5 years ago, are you higher now than you used to be? Or are we back to where you were? Or how does it compare?
Hermann Haraldsson: I would say that we're higher now than we were in 5 years back. And we will be higher going at least when we exit 2026. So I think that we're in a good part. But again, you have to be careful because we're not going to be a luxury brand. We like kind of a position of the mid- to premium, as you know, where we get the good basket size, but we want to stay out of the luxury segment because that's not very profitable to be.
Daniel Schmidt: But do you feel that it has been sort of a trend in the market where maybe players like Zalando and yourself have become too much -- too similar basically?
Hermann Haraldsson: I still think that we have a more premium experience. We have higher price points. And I think you can read it directly through the difference in basket size. I believe that our basket size is some 70% higher than our German friends. But of course, there's a considerable overlap between the 2 shops, but we're still kind of focusing on the Nordic consumers having -- being regarded as a more curated and probably a more premium experience than other in our market.
Daniel Schmidt: And then just you touched upon Norway. And I didn't see any numbers specifically for Norway, but you do sort of give the numbers of Sweden and Denmark and then the Nordics. But it looks like Norway, I don't know what Finland did, of course, but I guess Finland was still quite weak. Did Norway grow double digit in the quarter in local currency?
Hermann Haraldsson: Yes, it did and more than 10%. So it was actually quite a good quarter for Norway, and we are seeing strong growth. We are investing in Norway and not -- of course, we are investing in profitable growth in Norway, but actually Norway was a very good market for us in Q4 and Finland was quite weak, actually, almost very weak. So yes, high growth environment.
Daniel Schmidt: And it sounds like that comes back to you being liberated of the import duties maybe and you're in a better position now to push ahead in Norway rather than the market being much stronger than a year ago. Is that correct?
Hermann Haraldsson: That is correct. We have reinvested some of the savings that we have gotten from the customs for the duties. So we've put that back to the market and investing in marketing, and we'll continue to do that.
Daniel Schmidt: And could you sort of give us a guesstimate of what your sort of fair share should be in Norway given where you are in Sweden and Denmark compared to where you are now in Norway?
Hermann Haraldsson: It's difficult, but Norway should be twice the size as it is today. Because Norway is -- the assortment that we have on Boozt is very well suited for the Norwegian market. And I think we have good consumer insight. So it's like -- it's all to double and do that within the next 3 to 5 years.
Daniel Schmidt: And today, it's 12% of sales or something like that?
Hermann Haraldsson: Yes. You're not far off, I think. Michael said, we don't disclose. So I can't say anything.
Daniel Schmidt: Okay. And then just lastly, you scrapped the CapEx expansion plan a year ago. You are more optimistic today. You talk about ambitions to grow double digit towards the end of '26. You have guided for CapEx for '26, but it sounds -- looks a little bit like any sort of normal CapEx year. What are you sort of thinking when it comes to that plan you had?
Michael Bjergby: Yes, I agree. It is more of a normal CapEx. I would say the SEK 40 million that we are doing for insurance compliance reasons is a bit of an extraordinary. But other than that, it is a normal year. With the growth that we have, we still expect that we will have to expand, but it will probably be a project that is required during '27, '28 with also CapEx split between the 2 years. So there's no sort of a big amount coming, which is far from what we have today in 2027. You shouldn't expect that.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Hermann Haraldsson: Okay. Thank you for listening in and for some very good questions. And I guess that we will see you over the next weeks and wish you all a good day. Thank you.